Operator: Okay. Good afternoon, everyone, and welcome to Unusual Machines’ Fourth Quarter and Full Year ended December 31, 2024 Earnings Conference Call and Webcast. With us today are Unusual Machines’ CEO, Allan Evans; and CFO, Brian Hoff. Following today’s remarks, we will have a Q&A session. During this call, management will make forward-looking statements, including statements that address Unusual Machines’ expectations for future performance and operational results. Forward-looking statements involve risks and other factors that may cause actual results to differ materially from those statements. For more information about these risks, please refer to the risk factors described in Usual Machines’ most recently filed Form 10-K. Except as required by law, Unusual Machines disclaims any obligation to publicly update or revise any information to reflect events or circumstances that occur after this call. As a reminder, this call is being recorded, and a replay will be available on Unusual Machines’ website at www.unusualmachines.com. Now let me hand the call over to Allan Evans, CEO. Please go ahead, Allan.
Allan Evans: Thank you, Christine. Thank you, everyone, for being here. Before I begin, our lawyers have asked me to read the safe harbor statement and it probably is a summary of the rest of the call. Please note that the company’s remarks made during this call, including answers to questions, include forward-looking statements, which are subject to various risks and uncertainties. These statements include our expectation that we will not incur similar GAAP losses as we incurred in quarter four 2024 in the future, our ability to continue to limit our cash burn and improve our margins, cash flow and revenues. Our expectation is that tariffs will not have a significant negative impact on our business, our ability to close the Aloft transaction, our ability to expand Rotor Riot’s operations, driving both top line growth and improved margins while introducing U.S. made components at competitive global prices, our ability to take advantage of tariffs to improve our margins, our ability to get more products listed on the Blue UAS framework of the U.S. Department of Defense, our ability to achieve aggressive growth, our ability to take advantage of a favorable legislative environment, our anticipation that our B2B sales will represent a higher percentage of our revenue going forward, our ability to quickly scale a motor factory in Orlando and our ability to capitalize enterprise sales in the legislative environment to drive substantial growth through 2025. Actual results may differ materially from the results predicted, and reported results should not be considered as an indication of future performance. A discussion of risks and uncertainties related to Unusual Machines Inc.’s business is contained in its filings with the Securities and Exchange Commission, including the Annual Report on Form 10-K filed with the SEC on March 27, 2025. Additionally, we are dependent upon third parties and in getting on the Blue UAS Framework for our drone parts in a timely manner and receiving subsequent orders for our made in USA parts and drones. Unusual Machines, Inc. disclaims any obligation to update any forward-looking statement as a result of future development. Those are the recommendations the lawyer had me read. We have prepared some remarks that we do want to share to provide clarity on what we see as our 2024 results. As usual, I do apologize. I will be a little robotic. I’m reading. This is absolutely the best way to be sure you get all the information we want to share concisely. After our prepared comments, Brian and I will be happy to answer any questions in an open Q&A. We’ll provide instructions at the end on how to ask questions. I really want to start by saying thank you to our entire team. The fourth quarter is especially hard. It’s busy and our staff, they work really long hours during the holiday and they end up spending that time away from family and friends. Thank you. Without you guys, this company wouldn’t be what it is. You guys are awesome. This is our first annual report as a public company. It’s been a very busy year. The fourth quarter was yet again our highest revenue quarter of all time, and we actually outperformed our expectations for the year. This year, we also started a components business. We began onshoring production for physical goods, progress is fast. With all the dynamic pieces, it’s still very important to focus on our three core priorities: cash flow, operations and growth. Priority one is cash and cash flow. We started the quarter with $1.7 million. We finished the quarter with $3.8 million. And since then, the holders of most of our warrants have exercised, and we’ve received an additional proceeds of about $2.4 million. We are very comfortable with our cash position heading into 2025, especially as we’ve historically and continue to focus on keeping our cash burn as low as we reasonably can. Priority two is our operations. For the quarter, we generated over $2 million in sales at 28% gross margin. This is awesome. It’s a 31% increase over just our third quarter. We finished the year at $5.65 million, which doesn’t include the first six weeks of the year because we IPO-ed last February and this exceeded our target of $5 million in sales for 2024. Even better, a wonderful note in all of this is we did this without customer concentration. No individual customer exceeded 5% of our total sales. This is with us starting to see those enterprise sales materialize. It represents about 15% of our quarter four B2B – was from B2B sales. Anyway, I’m really encouraged by the financial health of the company and the opportunity we have going forward. Because of that, Brian and I and the rest of the team, we worked with the NYSE and we enabled options trading on Unusual Machines. It actually started Monday of this week. We anticipate filing a Form S-3 in the next month to provide us with flexibility to aggressively execute as the market potentially materializes. And I’ve also asked the management team to put in place 10b5-1 stock sales plans so that they can pay for taxes on equity grants. That way, nobody really gets too sideways with the IRS if we have share price volatility. Our third and arguably most important focus is on growth. We are planning for aggressive growth this year. We do expect a slightly higher cash burn as we go after the components business and take advantage of what we see as a really favorable legislative environment. We see this as a window of opportunity where we can materially improve top and bottom lines over the next 12 months. And we do expect some CapEx costs as we aggressively build out electric motor production in Orlando. In a moment, I’ll hand off to our CFO, Brian, who will discuss our financial results in more detail. But first, I’d like to discuss some of the unusual GAAP and 10-K items in order to provide context. GAAP, generally accepted accounting principles, it has some really funky outcomes when we look at our intangible adjustments and debt conversion. I honestly believe that this obscures the true performance and nature of the company. The entries that lead to what I think is a fairly silly outcome are we reported a net loss of $32 million for 2024. And Brian is going to be able to walk us through the specifics here, but I want to remind everyone that the company is in the best financial position it’s ever been in. We eliminated the $4 million in debt we had. We have more cash in the bank than we ever have had. We are tightly controlling cash burn. We’re generating record revenues and improving our margins. And we were managed to do all this to organize the entire company in less than a year since our IPO. Of course, nothing is free. The price for cleaning up everything was some modest dilution. Since the day of our IPO, our fully diluted share count increased from 11.2 million shares to 17 million fully diluted shares at the end of 2024. Anyway, I do want to say thank you to Brian for the long hours working through GAAP math [ph]. With that, I’m handing the call off to our CFO, Brian Hoff.
Brian Hoff: Thank you, Allan, and thank you to everyone for joining us this afternoon. As Allan said, the fourth quarter was our best quarter-to-date with revenue over $2 million. Total revenue for the year was $5.65 million since the date of acquisitions in February. The fourth quarter was our first quarter with selling our Blue UAS products. And our fourth quarter was margins remained in line with expectations at 28%. This was also a very transformational quarter for us in regards to our balance sheet. Throughout the quarter, we converted the remaining $3 million, $4 million in total debt to common shares we completed a $1.8 million private investment and had $1.5 million in cash exercises on warrants. This had a net impact of increasing our cash balance by $2 million and eliminating the debt of $3 million during the quarter. Finally, as we noted in an 8-K recently, and in February 2025, we also had additional warrants of exercises of cash for approximately $2.4 million, and our total cash balance is approximately $5 million today. Moving our attention to SG&A expenses, which is kind of our normal operations. Our operational SG&A expenses remain very consistent and in line with expectations. The big fluctuations we saw this quarter were a little bit more in ad spend and shipping expense, but that’s expected given the holiday increase in sales. There are two non-cash-related items in our SG&A expenses. That’s related to $1.5 million worth of stock compensation expense and a $10 million impairment on goodwill. Stock compensation expense was higher in the fourth quarter based on timing of equity grants and the increase in our stock price. In addition, and then as we mentioned, the $10.1 million [ph] in loss on goodwill. Now shifting to the other expenses in the statement of operations, we had additional large non-cash expenses, all related to the derivative accounting of that debt conversion that we did. The net of this really again, doesn’t necessarily highlight how the health of our business is, but it required us to take $14.8 million worth of expense for that debt conversion. But again, it’s all non-cash and the only cash expense that we had was about $15,000 in the fourth quarter for interest expense. To summarize this, our statement of operations was $31.98 million net loss. However, if you remove those non-cash expenses and the debt conversion, our true kind of practical operating loss is about $4.6 million. And I’ll reference you to the shareholder letter that we issued today. There’s a nice reconciliation and table in the back to show you the GAAP net loss to that practical operating loss. And as a final quick note on our cap table, our outstanding shares is only in common stock, and we have no more preferred outstanding. There’s a few more warrants out there, but that’s all held by insiders. I also want to echo Allan’s comments and say thank you to our entire team for their hard work during the fourth quarter and throughout this entire transition year, couldn’t have done it without you. We are very happy with our 2024 operational results, and the momentum is very strong coming into 2025. There’s a lot of growth potential and with our much improved balance sheet and cash position health, this provides us with the right mechanisms to take advantage of our growth objectives for the year. I’ll send it back over to Allan. Thank you.
Allan Evans: Thanks, Brian. You’re the best. It is no secret that the growth of our business is impacted by the domestic and global political landscape. We have favorable market conditions right now and we are accelerating inventory orders as well as building out our domestic production as quickly as we can. Tariffs and regulations have galvanized our growth plans while political changes have introduced uncertainty around the European market. Before I dive into it further, I do want to note that my comments from here forward are pretty much forward-looking and are no way assured. We are continuing to work very hard to accelerate our made in the U.S. components business. We have three products that have now been approved for the DIU Blue Framework, and we’re going to get more components improved. I’m very proud of how our team has embraced this new business segment as the components business already represents about 15% of our revenue. While we have not seen the European market orders materialize in the way we might have expected based on those first Brave F7 sales, we are seeing domestic borders accelerate. To be candid, fully upfront, two possible upside scenarios that we were hoping for last year did not materialize. The first one was the U.S. defense spending at the end of the fiscal year for the FPV category. It was below our expectations for 2024. And then the recent relationship changes with Europe at a state level lead us to believe that we will not be a preferred vendor for drone parts in Ukraine. These same changes, the same dynamic environment in the political landscape is creating a very favorable U.S. market for us in 2025. For instance, in January, Jiangxi Xintuo Enterprise Co., Ltd, and I’m sure I butchered that, was added to the specially designated nationals and blocked persons, which is the SDN list. This is the parent company that owns and operates T-Motor, which is a really solid high-quality Chinese motor company, and they also sell some other drone components in our segment. For many years, T-Motors provided drone motors to most drone manufacturers across the globe, including us at Rotor Riot, where we’d carry them in our retail store. T-Motor’s addition to the SDN list means that sanctions have been placed against them. All U.S. persons and companies are not permitted to conduct any further business with T-Motor. This is a major catalyst for our business as several drone producers now need to immediately find an alternative supplier for products, the downstream products they already have in production. So we are working very hard to fill this void and are offering our customers high-quality alternative solutions so that they can just keep their production lines running. This single legislative action has created a market vacuum and an immediate opportunity for us. We do expect to have some near-term CapEx costs as we try to rapidly scale production and bring in equipment over doing it maybe more slowly in a different environment. This single opportunity does more to offset any temporary slowdown in government orders for new drones to some of our other customers as budget cuts, reorganizations and dose create uncertainty. And if we’re talking about government actions, tariffs are uncertain, but they do, if they’re implemented, provide us with the opportunity to sell our U.S.-made components at a competitive advantage. So we see short or even midterm tariffs as a really quick path for us to improve our margins and market share relative to our retail competitors that have a larger mix of Chinese products. To be very clear, unusual machines is at a critical juncture. Our actions over the next year will define our business for many years to come. Right now, our business is healthier than it has ever been and we have enough cash to aggressively pursue growth without worrying about the three to six-month uncertainty created by this dynamic political landscape and government funding, we have executed and been growing revenue both for our retail and components business, and those businesses should both benefit from tariffs. The U.S. drone market is rapidly changing. And we, as a team, believe that right now is our time to strike hard and fearlessly go after the opportunities presented to us. You can tell I’m excited. Anyway, I want to say thank you again to our entire staff. They put in the work. And to all of you, our shareholders, we really appreciate your belief. With that, we’re going to open up this call to questions. If you happen to be on a phone, you press star nine to raise your hand and then Christine will let you know and after that you’ll have to press star six to unmute. So Christine will help us with the call-in questions. If you are calling in, please say your name and where you’re from. And then we’ll also get to questions that you might type into the chat and I’ll try to go through those and read those out loud. So we look forward to it.
A - Christine Petraglia: First question is from John Roy, John from Water Tower Research. Hi, John.
John Roy: Hey. I really had a question about the tariffs. I know it’s the topic of the day. But can you give us any more color on how big of an impact this could have in 2025?
Allan Evans: Thank you very much. The question from John Roy is what is the impact of tariffs on 2025? I would say to start, a little uncertain because the tariffs are uncertain, but they’re doing two things. First, it is while allowing us with a lot of our drones to the retail store, to be even more competitively priced and move more volume over to our in-house products. And I think if you look, the tariffs on China are supposed to expand by about 25%. So we think there’s maybe 10% to 15% of margin expansion there while offering our customers really competitive pricing. The other thing is with the T-motor band, it’s causing a lot of U.S. entities to not look at other Chinese companies, which would be the preferred alternatives, and they’re saying, Oh man, with tariffs, et cetera, we want to go work with a domestic company." And so even the idea of tariffs is causing us to get more inbound for sales.
John Roy: Great. And as a follow-up, I wanted to ask about GAAP. Obviously, GAAP, excluding the numbers pretty much here. I wanted to really get what your thinking is the numbers that we should be really focusing on. I mean, revenue, revenue growth, gross margin, is there anything besides those three items that’s really high in your mind?
Allan Evans: I mean we put it out there. We look at cash in, cash out and growth. And so if you look, we were all in cash at about $4.6 million. We report every quarter what we see as operational cash burn. We try really hard to keep that in the $750 million range. I think we’re in the $890 million range last quarter because we had pipe expenses. The – as long as we’re growing, we only die if we run out of cash. We only have to go do debt financing or anything negative if it’s cash. And so we felt like it’s important to be transparent to do those things, but our company is healthier than it’s ever been in GAAP, I think is misleading in this case. So we try to communicate that.
John Roy: Great, thanks so much.
Allan Evans: No problem. While you bring in the next person, Christine, Barrett Boone has asked, given the enterprise sales represent 15% of quarter four revenue with the Blue Framework launch, can we elaborate on our pipeline and what percentage of revenue we expect this to be in 2025 and beyond? Barrett, I appreciate the question. We will know a lot more after quarter one. We’re seeing interest pick up. Our internal objective is to have B2B sales represent 50% more and more of our revenue to say, "Hey, this is now a business unit that’s fully working." And we’re targeting somewhere between four and six quarters to realize that. So it’s a little bit of a race. Can revenue from retail grow and make that a harder challenge for the B2B folks or not, but that’s our internal target dynamic marketplace. So a little variance on when we think we’d hit it. Christine, you got another – anybody else with questions? All right. So we have another one here. Can we share more information about the scale and monetary value of Red Cat’s initial motor orders and what kind of production volumes you’re targeting? Are you using contract suppliers or building the motors completely in-house? Good question. We don’t talk about customers that we have an NDA with. What I can tell you is we’re moving to motor production our supply chain. And so we’re working with other vendors initially, and we’re owning the spec in the design and then we’re rolling it in internally so that we’re able to fulfill right now rather than have to wait. And we expect then building out our own production to increase volumes, enable the customers that need their final production to be made in the USA and enable us to have margin expansion. But we have solutions for the problem today, and we see potentially low margins on it is almost a marketing – market share expense because then we’re still solving the customer’s problem. Austin, we have a question from you saying, could you give any color on financial targets for 2025. I’d love to. And we have some internal notions right now. We’re ahead of 2024 substantially. And what I think is – I owe that to everybody in another 45 days when we do Q1. The team, we really want to look at Q1. We want to see if the tariffs get implemented. We want to understand how this T-Motor thing really plays out in the near-term. And so I think I have a responsibility to give an answer for that next quarter. From Justin Gordon, what are some production numbers and capabilities on controllers and motors? Right now, motors were just starting to scale. So I think production and quality numbers, we don’t have really hard fixed things. We do have a supply network so we could get tens of thousands, hundreds of thousands if there was demand there. They would just be low margin. But they would all be compliant. For controllers and other electronics as part of our initial work with the European customers, we did have to prove that within six months, we could scale to $100,000 a month. So we do orders of about $10,000 a piece. Typically, that’s our MOQ, and we have a really good relationship, and we keep building parts. All right, we got more. These are great questions. From Austin, again, what is the timing of when Aloft closes. We’re working through it. We got to meet closing conditions. So we’re not here to rush closing conditions hopefully soon, but there may be some nits that cause it to drag out a little bit. I would be more concerned about the urgency, but we really look at Aloft as a three-year time horizon when we see the FAA implementing BVLOS. And we have to really focus our efforts on motors, given the sanctions. So from our end, even Aloft is not number one priority. They’re still super important. Those guys are great. So we’re just – we’re working through the closings. See, what else we have here? From Danielle Marietta, I’m sorry if I said your name wrong. While defense spending in favor of UMAC was disappointing for 2024, what insight can you give for 2025? I believe some drones are being shipped to Red Cat from UMAC. 2025 looks pretty good. Now especially with the incoming administration or the current administration and their real favoritism for it, what I think the challenge in 2025 will be is uncertainty on the timing. So this is where some of the projection challenges come in. There’s a continuing resolution. When that happens a lot of times, the contracts and the money don’t show up until the end of the fiscal year, which is August, September. If that changes and contracts are awarded next month in April, it does change the timing of the finances there. That’s a big part of why we don’t think – we left the uncertainty on enterprise for four to six months – four to six quarters is there’s some uncertainty in the short-term around the timing of when we expect the government to really start to open up the contracts. But with the FPV category, there’s a ton of interest there. And where there’s smoke, there’s fire. We just haven’t found the fire yet, and I’m thinking we’ll see that sometime between here in September. The weirdly, and we try not to say this too loudly. The slight delay in timing has given us a really good opportunity to get more parts on the Blue Framework to build out motor capability and to actually be a better, more comprehensive supplier for a lot of these companies. So we’re pretty excited about that. And we think we’re in a good spot to really work with multiple partners to be successful. We have IT from anonymous attendee, which I really hope that’s your legal name. There’s immediate expansion to take advantage of the current climate, does this impact your future plans or perhaps the Aloft acquisition pipeline? Yes. Honestly, when you have an opportunity like this, you have to be a little reactive. So it means we’re going to be more aggressive. This is a chance to grab what we see is a $50 million to $100 million TAM for motors alone in the U.S. It is a Commodity segment. So it means we’re going to be a little more aggressive with CapEx spend. It does mean that we’re going to prioritize some of the things we have to do there over working through all the closing conditions of the law because we really see what those guys are doing is great as an independent unit, but not – there’s not the same urgency that there is for motors, particularly from the marketplace. Like our customers need these things now. So that’s what we’re going with. Another one is here. Do the continuing resolution have what you expected or needed with regard to Chinese makers? The continuing resolution and I’d say like the sanctions that we’ve seen are more beneficial to us than we expected. If you look, the marketplace has really been created, I think you’re seeing regionalism in Europe, in Asia and the U.S., that regionalism means that we have an opportunity to flourish. Even though we’re maybe playing a little bit behind compared to some of our global competitors. And so we think that has given us this opportunity where we can go. And we have an obligation to all our shareholders and I think to the country, even to go as hard as we can to be a reliable supplier. Can we explain the sources of revenue from Aloft once new FAA regulation is passed? What is the main competitive advantage? All right. I’m going to give the very short answer. Right now, the FAA is considering and working on implementation for the rules for beyond the visual line of sight and one to many drone operations. So if you think like DoD operations right now, you think of swarms, except for it’d be pizza delivery. Now how do you do that when you’re delivering pizza, but somebody is in an airplane and somebody is taking a helicopter, what you need is you need comprehensive aerospace solutions that incorporate manned and unmanned aviation. And we believe that Aloft is in a really good position to help build out this framework to basically be what ADS-B is for manned aviation but for the larger aerospace and to be an enabling technology for a lot of things like drone delivery or nested drones flying other places. But we don’t see that even really being possible until the FAA regulation shows up in about three years. So in the public markets, most of the people want to care what you’re doing over the next six to 18 months. They’re really – our answer to that question in six to 18 months when you’re like, hey, what are the drivers in the near-term? So hopefully, that’s the short answer. There’s a lot more to it, and those guys are great. From Cornelia Sherlock, are drones likely to focus solely on aerial applications or water surface and submersible capabilities become part of your future? The cool thing here is I don’t know. We build parts. And so a lot of times what you get when people design these new products is they find a part, they buy a part or they come to you and they say what they need. And because we’re interested in being a supplier, if somebody needs a particular motor or whatever, we’re going to pay attention to that. And so one of the coolest things about this job is seeing these new and awesome applications. Like one of my favorites is there’s companies that watch windows with drones on big buildings instead of people bringing the thing down, and I’m personally terrified heights. So to me, that is like one of the absolute coolest things I would have never expected. From Jessi Stadelmann [ph], have we already taken to the opportunity to supply customers, which had to switch their drone parts because of the sanction against the mentioned Chinese drone supplier? Here’s what’s really neat. We’re our own customer through the Rotor Riot store. And so we are already actively doing that, and we’re enabling other customers who want to do that. So yes, because we drive a lot of volume and we do consumer stuff, it’s a problem that we have to actively solve, and it puts us in a great position to do it for everyone else. So we’re doing it right now, and we’re excited – and we’re doing it for some other consumer and enterprise customers. From Austin, my last one. That’s all right. I appreciate it. Do we think we have the cash on hand to fund our 2025 expansion plans? If not, what is the capital that is still needed to meet these plans? Yes, we think we have the cash on hand or we wouldn’t be aggressive about it. We still very much care about cash flow. Now we are looking to put necessary out there, and we are interested always in long-term investors at the right opportunity, but that’s not to finance our plans, that’s to be a better credit risk for our customers. Let me give you an example. Let’s say we’re working with AeroVironment. They’re a huge customer. They have all their financial checks. If they come and they want to source from us, they run a whole credit thing on us to be sure that we’re still getting the motors for the next 10 years. If we have $10 million in the bank, then we get better payment terms with them. We’re a more reliable vendor. They can move over more of their SKU because it’s just easier for us to be a supplier. So there’s a lot of ways for us to use cash to more quickly build business even if it sits in the bank. And I think that would be the number one reason to go after any kind of financing is to accelerate the operations of the business, but not through spend, through credit. From Lou Content [ph], do we see foresee growth opportunities from Chinese or non-U.S. firms being added to sanction list. If so, can you speak to which or what type and the opportunity associated with that? Lou, I was shocked. I was shocked that they were added. I mean we didn’t know if this would happen. It’s the first time we’ve really seen drone parts show up. I have no idea if anybody else is going to be at it. This is probably the number one opportunity, which is why we expressed so much urgency around it. This is the biggest arguably best company with motor TAM and they had a very large market share. I think you’ve seen other bans like the DJI ban as part of Section 1709 as the last signed NDA or yes, National Defense Authorization Act. That is going to stop DJI from getting additional FCC licenses probably in a year. That’s going to create a marketplace for a domestic producer to replace things like the Mavic. That’s again three years out when they start to roll out from that. And that’s already in place, too, and that’s what’s going to create sort of, I think, the million drone customer in the U.S. that we hope to demonstrate now and grow into being able to serve them but this is the big one. And so that’s why we’re maybe so adamant about it and our urgency to respond. Can we provide information about the acquisition of Aloft? What value does Aloft bring right now with it and how we’ll enhance Unusual Machines long term? Those guys no drones. They know domestic drones. And I think right now, you see a lot of focus, rightfully so, on defense and on the applications for defense because that’s where the money is going to come from. But we – what we really want is we don’t want to have to be as reactive or go as quick or try to be dynamic like we are with the T-motor response. I mean we’re a young company. We haven’t really been public for very long, and we’ve been going fast. We really see the value as being able to approach what we see as the next expanding market, which is the domestic market in about three years, regulated by the FAA and having the insights in the position to go do that and having a little more time to go do it. So we’re further ahead. Right now, I think we’re a little bit ahead. We’re racing. We got to race fast to serve our customers, and we’d rather be six months to a year further ahead. And I think by starting the integration now, we reduce things like integration risk. We can move over their financial systems, their payroll and not have to try to do it all at once. And basically, I’m trying to say Brian cycles, because I think he would be terrified if we tried to do all that. As of now, what percentage of your components are sourced from China? And what’s the biggest challenge you’re facing in running the business? The sourcing from China, question is tricky. I am not sure what the current percentage was. A year ago when we IPO-ed, it was about 96%. I think as we move forward, it’s going way down. And then we actually recently started offering a fully NDA compliant non-Chinese drone kit. So we do have products now that are fully zero China. And so the mix, we’ll know a little better in another few quarters will depend on what consumers are buying. And we’ll still carry the parts that they’re buying, where they’re legal, but our enterprise sales were at the point where it’s 0% in China. The biggest challenge running the business, we’re a small team. And as part of cash flow management, we have a rule. I have a couple of rules. First, if you’re not leaving 10% to 20% of stuff undone, you have too many employees. So we have to pick what we leave on done a little bit. And so everybody is stretched and then we want to stretch and then we want to scale. So I think we’re at that point where we’ve stretched and stretched and stretched and now we have to turn to scale, and we get some of these other opportunities showing up and it’s swinging into that scaling function now that I’d say is our biggest challenge. All right. I just did a lot of talking. Nobody else – has no other callers have a call-in question?
Operator: No more call-in questions, Allan. We’re good.
Allan Evans: Well, all right. Then I’d like to say thank you to everyone. We really appreciate your time. As always, please reach out with any additional feedback. We really appreciate all of you. And I think we’re all doing this together, shareholders, executives, everybody in the industry. And so thank you. I’d say, if you walk away with one thing, you should walk away with us thinking 2024 was great. We got, I think, all the things we didn’t like cleaned up. The company is super healthy even though – and maybe it looks weird in the public markets and now going into 2025, we’re going after it. And so if you want to see aggressive pay attention for the next 12 months. Thank you, everybody.